Operator: Good morning, everyone and welcome to Grupo Bimbo's Fourth Quarter and Full Year 2021 Results Conference Call. If you need a copy of the press release issued earlier today, it is available on the company's website at www.grupobimbo.com/en/investors/re`ports/quarterly reports. Before we begin, I would like to remind you that this call is being recorded and the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's press release regarding forward-looking statements. I will now turn the call over to Mr. Daniel Servitje, Chairman and Chief Executive Officer of Grupo Bimbo. Please go ahead sir.
Unidentified Company Representative: Daniel, we can't hear you. Sorry.
Daniel Servitje: Good afternoon, everyone and thank you for joining us. On behalf of Grupo Bimbo, I hope that you and your families are healthy and staying safe. Connected on the line today is our CFO, Diego Gaxiola; BBU's President, Alfred Penny; and some members of our finance team. 2021 was an exceptional year for Grupo Bimbo. We delivered record levels of sales, volume, and profit, while transforming the business in a complex operating environment. Our CapEx investments also reached a record level given the opportunities we are seeing in the market and categories where we participate. And we successfully completed the six strategic acquisitions during the year; two in the US, two in India, one in Spain, and one in Brazil in the QSR category. These results reflect the hard work of our teams, the strong execution of our plans and strategies, our ample diversification, the strength of our brands, and our long-term view. Despite inflation-driven price increases across our operations, we were able to reach record volumes growing across multiple categories most significantly in snacks, confectionery, buns, and rolls, and pastries. All-in-all very strong results in terms of volume, price realization, and successful revenue growth management initiatives across all our four regions, more importantly, in Mexico and North America. We continue to cycle difficult comparisons driven by the pandemic-induced buying which occurred in some of our geographies starting in March of 2020. Nevertheless, our run rates are demonstrating extremely strong performance versus 2019 with sales growing at 29%, adjusted EBITDA at 25%, and net majority income more than doubling. As it is impacting many industries in the world, we are facing a significantly higher inflationary environment. More specifically, we are seeing increases in commodities, freight, and labor costs as well as shortages across the supply chain in the US, UK, and Canada. We have been taking pricing, trade, and productivity actions and will continue to do so throughout the year to offset part of these cost increases across all our geographies. We will also continue to proactively look for restructuring opportunities across the value chain and will continue to deploy our digital transformation strategy. I want to share with you just some of the highlights of our digital transformation. We are smoothly positioning to Oracle's cloud-based ERP and leveraging the additional capability it provides us. Over half of our routes globally are now on our new route-to-market platforms. GB Connected, our IoT platform is just doing that, to date connecting 198 bakeries out of our total of 206 bakeries providing real-time data to accelerate decision-making. T-Connecta, our investment to add value to our traditional channel customers continued to expand in Mexico. And finally, we continue to see the benefits offered by robotic process automation and artificial intelligence. During the year, we also advanced towards our sustainability goals. Nearly, 100% of our breads tortillas and buns comply with international standards of saturated and trans fats, sodium and added sugar to offer products with an improved nutritional quality. We also signed the commitment to net zero carbon emissions by 2050, achieved 85% renewable electricity across all our global operations and reduced by 1.2 million kilograms the plastic in our packages among several other accomplishments. We will soon publish our new strategy so stay tuned. Now, looking into the quarterly results. For the seventh consecutive quarter, we reached record levels of sales and profits. I am very proud of the hard work of all our teams and their commitments to our purpose of nourishing a better world. Going through the results by region, North America had a very strong quarter. Net sales grew 12.4% in dollar terms. The branded business performed very well led by mainstream premium buns and rolls, sweet baked goods and snacks. And our in-store execution was excellent. We grew share in most of our categories despite a very difficult operating environment. Our frontline teams did an outstanding job navigating a number of challenges, which included the impact of weather-related events throughout the third and fourth quarters. We successfully implemented productivity initiatives and price increases throughout our portfolio, and saw volume growth and market share gains as we continue to be the first choice of our consumers in most categories. Our top line run rates, when compared to pre-pandemic levels continue to be very strong. This strength has been driven by strong consumer demand and the investments we have made and continue to make in our brands. The private label run rate has remained soft, while food service is beginning to rebound as schools and restaurants manage reopening and experience higher traffic. Our adjusted EBITDA margin in the region contracted 170 basis points, mainly due to rising commodity inflation and labor and material shortages across the supply chain. This was partially offset by favorable branded mix and productivity benefits from past restructuring investments, as well as other cost-saving initiatives. We're cautiously optimistic about the future, as we face a dynamic and evolving environment in 2022, including labor shortages, inflation and consumer spending uncertainty. However, we are laser-focused on what we can control and believe we will overcome these challenges and succeed in the year. In Mexico, sales improved by 21.5% attributable to volume growth, favorable product mix and price increases. Every channel posted double-digit growth, as well as the snacks confectionery, snack cakes, cookies, sweet baked goods, sliced bread and buns categories. Our increased presence and execution at the point of sale and favorable consumption trends also helped us boost the results. Adjusted EBITDA margin contracted 60 basis points reflecting as we mentioned before higher commodity prices, but we continue to pursue productivity savings across our value chain. In EAA, excluding FX effect, sales increased 17.7%. This was as a result of double-digit growth across almost every country where we operate, mainly, Iberia, and the QSR business, coupled with the acquisitions of Medina del Campo in Spain and Modern Foods and Kitty Bread in India. We continue to see an improved Covid situation in our QSR business year-over-year, while we are still managing a volatile customer demand as markets recover from the most recent Omicron variant. The adjusted EBITDA margin contraction of 270 basis points resulted from the higher cost of sales partially offset by the strong sales performance and savings in the distribution network. Finally, moving on to Latin America, net sales excluding the FX effect increased 24.6%. This was driven by strong price mix across our three organizations and the acquisition of Aryzta's QSR business in Brazil. Despite challenging conditions in several countries, our adjusted EBITDA margin expanded 590 basis points, reaching the highest level for a fourth quarter in 13 years at 6.8%, attributable to our turnaround efforts in Brazil which resulted in EBITDA gains for the second consecutive quarter. Colombia, Chile and the rest of our divisions keep posting excellent results. We have seen a positive development of our main core categories throughout the region. And we are implementing a restructuring program in Argentina and cost control initiatives in several countries to continue strengthening our profitability. Going forward, we will keep our focus on rebuilding and expanding our distribution, while strengthening our profitability in the region. I would now like to turn over the call to Diego Gaxiola, who will walk you through our financials. Please go ahead, Diego.
Diego Gaxiola: Thank you, Daniel. Good afternoon, everyone. And thank you for joining us today. I would like to start with a summary of our financial results for the full year, which were, outstanding especially when we consider the tough comparison from the 2020 remarkable results we are cycling. The FX conversion impact as the peso went from an average of MXN21.50 in 2020 to an average of MXN20.3 in 2021, also overall inflation and the complicated operating environment in some countries. We surpassed our sales and effective tax rate guidance. We were able to achieve our adjusted EBITDA guidance and remain confident that 2022 will be a strong year, as we strengthen our investments to be more efficient and to enhance our global presence as we continue to work on different productivity initiatives. We have continued to benefit from being a widely diversified company, as we see strong run rate in our core business and a recovery of the channels and categories that were under pressure during the beginning of the pandemic. 2021 was a record year in terms of sales, volume and profit, and we surpassed our record 2009 margins. Also, our adjusted EBITDA is eight times higher than it was in 2005. During the second half of the year, mostly in the fourth quarter, we experienced higher commodity prices which will continue throughout most of 2022. We are pulling several levers to offset this rising inflation, including price increases, revenue growth management strategies, our category and product mix, productivity initiatives. And we continue to proactively look for restructuring opportunities across our geographies. We have also achieved substantial and sustainable productivity savings coming from capital and restructuring investments we have made in the past, which enabled distribution efficiencies, automation improvements and integrated system solutions. Our full-year financing cost decreased by 9.5%, reflecting mainly lower interest expenses coupled with a lower exchange rate loss. And our cumulative effective tax rate stood at 34%, which continues to reflect the benefit of our turnaround businesses that had been performing substantially better than the previous years. As a result, the net effect of these factors yielded an improvement in 2021 net majority income of nearly 75% and a margin expansion of 180 basis points, reaching 4.6%, the highest for the past 12 years. Our return on equity also improved substantially closing the year at 15.2%, which is more than double when compared with the level of three years ago and the highest in over 10 years. Turning to our balance sheet. Thanks to our strong operating results, we closed the quarter with a net debt to adjusted EBITDA ratio of 1.9 times. Our total debt increased by MXN8 billion when compared to December 2020, primarily due to the capital investments as well as to the funding of the acquisitions that were concluded on top of the MXN6.5 billion that we have given to our shareholders through the combination of share buybacks and dividends. Our short-term debt increased to 11% of the total as we had the outstanding $200 million bond, which we have already paid in January with proceeds of our committed revolving credit facility. Our net operating working capital, which mainly considers accounts receivables, inventories and suppliers, has improved significantly by four days over the fourth quarter of 2020, which is the equivalent of MXN4 billion. This was mostly due to the improvement in accounts payable. Our supply chain finance program continues to pay off and bring significant cash flows to the company. We closed the year with a strong free cash flow before acquisitions, share buybacks and dividends, totaling MXN 11billion. Lastly, I want to update our guidance for 2022. Despite higher than expected sales in 2021 and thanks to the strong performance in the different markets in which we operate, we could see top line coming slightly higher. So we now expect a mid to high single-digit growth in our revenues. We are holding to our guidance on adjusted EBITDA growth of mid to single digit, sorry, mid to high single digit. Due to the updated top line growth and the high inflationary environment that we're facing, we expect to see some margin pressure in 2022. In terms of our expectation for the effective tax rate, we believe we will continue to see some improvement, reaching a low to mid-30s effective tax rate in 2022. I would also like to take a deep dive into our CapEx investments. As Daniel mentioned 2021, was a record year having invested more than $1 billion from which 45% was earmarked for growth and expansion projects, and the rest to business continuity and to improve our profitability throughout the entire value chain. Given the solid cash flow generation and the financial position of the company. together with the strong demand that we are experiencing across our markets and categories and that we are finding attractive opportunities to improve our operating capacity and profitability. In 2022, we will be investing more than what we anticipated. We are raising our guidance from $900 million to approximately $1.5 billion. We continue to be fully committed in the markets where we have operated over the long term including, Mexico where in fact nearly half of this CapEx is targeted to the country. This will be a record level of investment in Mexico equivalent to 1.4 times the average of what we have invested over the past seven years. Reinvesting our profits in our business has been and will continue to be part of our DNA, as we have a long-term view and we are committed to achieving our mission of delicious and nutritious baked goods and snacks in the hands of all. With that I conclude my presentation and we can please proceed with the Q&A session.
Operator: Thank you. The floor is now open for questions [Operator Instructions] Our first question will come from Álvaro García with BTG. Please go ahead.
Álvaro García: Hi, Daniel, Diego. Thanks for – thanks for the call. Congrats on the results. Two questions. My first question is on private label in the US, one of our main concerns into 2022 is sort of how the US consumer might trade down to private label sort of away from more delicious branded products such as yours. But we just lived through this unparalleled move away from private label throughout the pandemic. And I'm curious to hear your thoughts on how private label might have changed structurally over the last two or three years? Anything you might have on maybe consumer surveys, shelf space and how this might be captured in your guidance, would be helpful. That's my first question. Thank you.
Alfred Penny: Hi Álvaro, good to hear from you. I'll take that question. We haven't seen, I would say private label particularly in the core call it bread and bun categories has continued to be, I would say soft without trying to be specific about the numbers. The trends haven't really changed. The branded products and competitors have continued to show stronger results. Having said that, I would say -- and we haven't seen anything significant in terms of adjustments in shelf space, et cetera. But having said that, I would say that, in a significantly higher inflation environment where prices have been going up there is a question of at some point does that trend change. We haven't seen it, yet. But as we go forward, it's certainly something that I think is a watch-out for us in the category. So, we'll see.
Álvaro García: That's helpful. And then just my second question is on CapEx. The 1.5 billion I was wondering, if maybe you could strip that out a bit more. You mentioned Mexico was half of that. But what sort of explains the sort of significant increase relative to average? Are there specific projects, or any color there would be very helpful. Thank you.
Daniel Servitje: Yes. Good afternoon. Let me tell you that this is as we were mentioning I mentioned the historic record for investing in Mexico, over our 76 years in history. And the investments are in a broad range of areas and regions. But more importantly we are using our strength in manufacturing and baking in basically allowing ourselves to fill some export projects we have for the North American market and other markets as well. So we need this Mexican great platform for baking and producing our products and we're using it to our fullest. Besides that, the investments are in all regions and most of the categories where we're finding opportunities to increase capacity. We are also using part of the funds for maintenance investments and improvements also in our quality and safety standards.
Álvaro Garcia: Great. Thank you very much for that color and congrats again.
Operator: Our next question will come from Fernando Olvera with Bank of America. Please go ahead.
Fernando Olvera: Hi good afternoon and thanks for taking my questions. I have two. If I may. And the first one is related to [indiscernible] and if you can…
Daniel Servitje: Excuse me I cannot hear you almost anything. Could you repeat it please?
Alfred Penny: Yes. I'm having trouble as well hearing you Fernando. It's very sketchy.
Fernando Olvera: Can you hear me better?
Alfred Penny: Yes.
Fernando Olvera: Yes. Great. Now my first question is regarding price increases in the US. I mean on one side if you see room for additional price hikes throughout the year. And on the other hand, if you can share some -- the feedback from retailers regarding those price increases? And my second question is about Mexico. Can you explain the solid demand that you are seeing in Mexico? And what is your outlook for this year given that you will face tough comps? Thank you.
Alfred Penny: Daniel I'd be happy to -- Diego I'll take the first one. Fernando we just recently put in place our second price increase. Our first was at the beginning of September end of August. I think given what's happening with inflation in general in CPG food and other categories I think the retailers have recognized the need to offset some of the inflation pressures. Having said that, we're working really hard to offset as much of the inflation as we can through all the options, we have cost-cutting productivity trade optimization etcetera. And we're going to continue to do that. As I think forward inflation it's a question mark in terms of is it going to get worse or not. And so I wouldn't want to opine on whether there will be another price increase on that. We'll see. But clearly, we've needed to take pricing and we're going to continue to evaluate it as the year unfolds.
Daniel Servitje: Yes. So on the second question I will say that the Mexican businesses are performing very well. Confectionery bakery snacks all were growing significantly and performing very well. And basically, we are seeing this in almost all the channels and categories in these businesses. So I believe that the industry is doing well in general. And hopefully we're doing our job in maintaining or improving our market share in the different places. I only can say that the business is doing very well and our teams are executing it thoroughly.
Fernando Olvera: Great. Thank you.
Operator: Our next question will come from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Yes. Thank you very much, Daniel and Diego. Congrats on the strong results. Just wanted to dig a little bit into what you've been doing on the strong top-line in Mexico. Obviously, there was a very strong increase versus last year, but also versus two years ago. I just wanted to understand on the pricing side how much more are you working on to really drive that price to help recover the margins? Because if we take a look at the guidance, it feels that you need to kind of further engage in pricing in order to get -- actually the left to slightly down margin for 2022. I just wanted to understand how much more pricing initiatives are you doing, or is it really as well a combination of price mix and some of the other strategies you've mentioned during the call? Thank you.
Daniel Servitje: Can you take that Diego?
Diego Gaxiola: Yes, I can take it Daniel. Hi, Ben. Yes, part of the growth came from price increases we have been trying to catch up with inflation. As you know this is a pressure that we're facing in all different markets. As Daniel mentioned on the previous question also the growth came from all different categories as well as from the different channels seeing strong volumes. And part of the effect in terms of the margins it's also because of the mix that we have seen and that we continue to expect.
Ben Theurer: Okay. And then on the CapEx just out of curiosity is it because you've identified another over close to call it $600 million in potential projects were to invest in, or is part of that as well driven just because you're facing as well on the CapEx side inflationary pressure just to understand maybe what's been driving it from $900 million to $1.5 billion.
Diego Gaxiola: If you want to, I can take it Daniel. No definitely it's not because of inflation. I mean we're also seeing some pressure on inflation on the CapEx because it is not only soft commodities, I mean we're seeing inflation all over the place. But I mean that's more on the mid single-digit component. Maintenance CapEx for 2022 will be pretty much in line with what we have been investing in the past which globally speaking it's in the range of $450 million. So as you can see, we do expect to invest a little bit more than $1 billion mainly from a growth and productivity project. And this is because of the performance and the strong expectation and the opportunities that we're seeing for the mid to long term.
Ben Theurer: Thank you very much, Daniel. Congrats again.
Operator: Our next question will come from Alan Alanis with Santander. Please go ahead.
Alan Alanis: Thank you so much and congratulations on the results Daniel, Diego and the rest of the team. Couple of questions. The first one regarding margins in the United States. I mean how sustainable will be these margins going forward as far as you can tell in terms of whatever policy you have on hedges and the pricing strategies and so forth this record high level of margins? And the second question is more generic more regarding your lessons or what you have learned in operating inflationary environments in the past. I know you've been operating in Argentina for a while and you've been also operating in Mexico for many, many decades where times were much highly inflationary. And the question around inflation is very specific regarding elasticity and your strategy in terms of right now we're seeing I think we're still seeing some acceleration of inflation. How would your strategy evolve depending if inflation continues to keep accelerating or it tempers down and so forth based on your previous experiences dealing with inflationary environment? Thank you.
Alfred Penny: Diego, do you want to take that one? You want me to talk to the North America numbers first?
Diego Gaxiola: Yes. Take the first one Fred.
Alfred Penny: Yes. So, Alan I would say we had some -- for North America, we had some margin compression off of -- to your point record levels. But I think given the significant inflation we're facing and labor challenges, et cetera, which I could talk about probably for longer than you all want, I'm pretty pleased with the performance. I think we're going to have continued margin pressure, although I think we're going to also have the opportunity to deliver improved topline and bottom-line performance. The big question is where does inflation go from here? Does it get even worse than it already is? Can we cover it through whether it's price or productivity or other efforts? I think that remains to be seen. But I'm confident we're going to manage through the inflation pressures as best we can and hopefully continue to deliver fairly solid performance.
Alan Alanis: Thank you, Fred. And what I was referring to here I mean at this current level versus a few years ago or the pre-pandemic level. I mean I was not referring statistically to year-over-year, but that's a useful answer. Thank you so much. A - Alfred Penny Well, I think the other thing I would say Alan is we haven't pre-COVID at least in our industry we haven't -- I haven't seen any inflation of this magnitude in go back 10 years. It just hasn't happened. We've had inflation spikes in commodities, but not more across the board as we're seeing now. And I think many industries if not all industries are trying to deal with that.
Alan Alanis: Yes, I think probably all of the other consumer names are saying that it's relative -- I mean retailers are not pushing back to several increases per year in the US. Thank you so much Fred. Thanks. And regarding -- question Daniel and -- what would you say regarding the lessons to apply? What are the guiding principles I guess that you tell to the management team in an inflationary environment?
Daniel Servitje: Maybe I didn't hear you very well, but it's regarding what are the guiding principles for managing the inflation, or I didn't get the question very well.
Alan Alanis: Yes, that's exactly the question Daniel. I mean what's your communication to the management team in a higher inflationary environment?
Daniel Servitje: Well, we -- as you know Alan, we come from an emerging market and LatAm has always been very volatile. So, we I believe have some of the instincts and the experiences in many countries of having faced with these inflationary periods. We believe that we will be sort of having a more rational atmosphere in the coming months. But as of now I'd say that our teams have been managing this on a local basis country-by-country or even region within the country in close contact with our customers and having a strong dialogue and really explain our customers what are our issues. And whenever it's necessary, having -- taking the necessary measures in price increases or trade spend that allow us to maneuver in this complex environment. And our philosophy is really to be as productive as we can. But to make sure that over time, we can maintain our margins and hopefully, be able to arrive at the right price pack offer that will add value to our consumers.
Alan Alanis: That's very useful Daniel. Case-by-case and with a lot of dialogue with consumers that's what I heard. So, I think that makes a lot of sense. Best of luck. And again congratulations.
Daniel Servitje: Thank you.
Operator: Our next question will come from Lucas Ferreira with JPMorgan. Please go ahead.
Lucas Ferreira: Hi gentlemen. Thank you very much for the opportunity. My first question is regarding implications of this higher CapEx to your dividends and buybacks. If you can comment on that if anything changes. Are you likely going to be moderating a little bit the return to shareholders given your high investment this year? And second question is, also regarding elasticity, if you can make up comments, especially in the US at this point, how you see elasticity in your categories, if the consumer is already kind of trading down a little bit moving to smaller packs. And just so we have a sense of how achievable would-be new hikes, if you eventually have to do them. Thank you.
Diego Gaxiola: Daniel, if you want to, I can take the first one.
Daniel Servitje: Yeah. I just like – maybe I want to color it a little bit and you can give more specifics, but I in general think that there are times to seed and times to sow. And as you could see this is a year, where we're planning very much so on building up our infrastructure and our capacity to serve better and more in the future you know. And I mean, we were – I think we will be able to take care of our different stakeholders, but the accent is on that one. You can go Diego.
Diego Gaxiola: Yes. Thank you. I would say that, we're not changing the strategy for the buyback program or the dividends. And this is thanks to the strong operating cash flow that, we have seen and that we continue to expect together with our strong financial position, also we believe that is the right thing to do. We have always as the priority in the company to reinvest in the business to have a long-term view. So taking the opportunity that, we see in front of us requires high CapEx program. It's going to be very intensive. As you can imagine, we're coming from a record year and we're expecting a very important increase. But this is not in the cost of taking out any dividends or buybacks.
Lucas Ferreira: Thank you very much.
Alfred Penny: Lucas, I guess, I'm going to take your second question. If it was a second question around elasticity. At least, as it relates to call it North America, we are only several weeks now into our second price increase after the first. And so far this one, we have not seen any significant elasticity issues, but it's not all equal. The categories are different. I think it's going to take some more time to figure out, whether we are going to see elasticity issues on the pricing. And I'd say also, it's a complicated issue with everything going on Omicron coming down, school re-openings et cetera, mass mandates being dropped. I think much of this has to do with how consumer behavior changes going forward. And we'll have to wait and see for a few more weeks if not months.
Lucas Ferreira: Excellent. Thank you very much.
Operator: Our next question will come from Bernardo Malpica with Compass Group. Please go ahead.
Bernardo Malpica: Hi, Daniel. Thank you for taking my question. My question is more towards EBITDA margin. If I can get a little bit more insight in regard to this. First, the first question is for Latin America for South America. And right, your margins improved from 0.9% to 6.8%. So is this 6.8% something we could expect for 2022, or should we still expect improvements to around 9%, 10%? And my second question regarding margins, if you could give a little bit more insight from what you've seen these past two months. I mean, I know, there is margin pressure, but compared to last quarter? Should we see something similar or even more pressure. So if you could just give a little bit more insight about that. Thank you.
Diego Gaxiola: Yeah, Daniel, you want to take that one.
Daniel Servitje: Yes, sure. I will take both. Thank you, Bernardo. I mean, unfortunately, we do not provide any specific guidance on margins by region. I mean, it's just the guidance at the Grupo Bimbo level. In terms of giving a little bit of color of what we expect, I mean, not necessarily for the first quarter, but I would say more for the first half is that, we will see a little bit more of pressure in terms of the margins because of the comparison that we have versus 2021, where we had some hedges that were taken back in 2020 where inflation was substantially lower than what we're seeing today. So as I said during the conference, second half of 2021, we started to see higher inflation or even higher than the first half. So this will put a little bit of pressure, we see it by half and half. But we feel confident that we're going to be able to deliver this new expectation on the top line from mid to high single digit instead of the mid-single digit that we were previously expecting, because of the strong operating environment. We're not necessarily adjusting the EBITDA, which means basically that we might see some pressure on the EBITDA margin for the full year, because of having higher revenues.
Bernardo Malpica: Okay. That helps a lot. Thanks so much and good luck for the year.
Operator: Our next question will come from Felipe Ucros with Scotiabank. Please go ahead.
Felipe Ucros: Thank you. Good evening, Daniel, Diego, Fred. Congrats on another good set of results. Quick question on penetration in Latin America. You have mentioned increased penetration in LatAm the last couple of -- at least a couple of times in the last few reports. So just wondering, if you could talk in a bit more detail about how you're reaching better penetration levels in that operation. I mean, a few years ago you started talking about improving the distribution. So just wondering if this is a result of increased distribution and reach, or if there's something else in particular going on in Latin America? And then, I have a follow-up question. Thank you.
Daniel Servitje: Yes, Felipe. Well, let me tell you that, yes, we had a tremendous quarter in LatAm. It was, in many countries, a very good improvement. And we're seeing that our local teams are tailoring the offerings to the -- with more accuracy than what we did in the past and trying to find the right products at the right price to allow us to maintain, the business is performing better in a difficult context. Part of the improvement, I would say, a significant part came because we are performing a good turnaround in our Brazilian operation. But nonetheless, the rest of the operations of all --- basically all the countries -- of all the countries have seen improvements versus the previous year. And that is basically a result of, I would say, a very well-developed strategy that is rendering results.
Felipe Ucros: Very clear. Thanks for the color on that. And maybe, if I can do a second question on the events that are happening in Ukraine right now. Just wondering, given that what's happening there, obviously, is something that you already lived through in 2014 in Crimea and obviously the region is very important for wheat production. So just wonder, how your position compares with 2014 when you entered this period. Do you feel you were well hedged ahead of anything that may happen? I'm just wondering how it compares to 2014 and how you expect to ferry through at this time.
Daniel Servitje: Well, we have interest in Ukraine and Russia, because we do have operations. We have a plant in Ukraine and a plant in Russia and we hope for the best in Ukraine and Soviets, as these events unfold. And, yes, the impact of whatever happens will be seen in commodities, especially in wheat. We're hedged for some months ahead, but not necessarily for the full year. And I don't know Diego do you want to provide more color on this one? But it will have an impact if these events continue for long.
Diego Gaxiola: Yes, Daniel, happy to do so. Yes, definitely, I mean, this is an additional risk particularly for wheat. We do not disclose the specific hedges that we have by commodities, but as part of our hedging strategy, what I can tell you is that we ended 2021 with approximately 70% of the commodity needs that we have for the full year. Now this doesn't mean that we will not see any impact, because at the end we will continue to do the hedging strategy. And as wheat goes up, we will start to face inflation probably more an additional inflation towards the end of the year and 2023.
Felipe Ucros: Now that's very clear. Thanks. Thanks for the color.
Operator: Our next question will come from Sergio Matsumoto with Citigroup. Please go ahead.
Sergio Matsumoto: Yes. Hi. Good evening, Daniel, Diego and Alfred. Thanks for taking my question. I have two questions. The first one is on Mexico competition against the traditional bakers in the neighborhood or those inside the supermarkets. Just wondering how they've done during the pandemic if the, for example, if the hygiene-focus hurt them during the pandemic or if they had an advantage, because they had lower prices? So that's the first question. The second is on the CapEx more on the North American projects. Some of the companies we follow in the U.S. are stepping up investments in automation and digitization, especially for those with better labor-intensive sectors. And you referred to robotics in the prepared remarks, Daniel. And maybe if you can comment more on the potential capital substitution in light of logistics and supply chain challenges, or is that difficult to do that in the U.S. with the DSD distribution model? Thanks.
Operator: You’re on…
Diego Gaxiola: Daniel, unmute.
Daniel Servitje: Yes. We're advancing Sergio on investing in the logistical part of our distribution. What is primary distribution shipping centers ordering fulfillment that we're doing. On the second leg, which is the secondary distribution, we are so far not investing so hard. We're trying to optimize our system with the technology that is available and cost-effective. On the first question, traditional bakeries and in-store bakery, more importantly, what we heard in the country in the last years as COVID happened because consumers didn't want to buy a product that was not properly guaranteed in terms of its packaging. But I expect that as Omicron reigns this consumption will start benefiting again the traditional bakeries and the in-store bakeries.
Sergio Matsumoto: Thanks, Daniel.
Operator: Our next question will come from Carlos Laboy with HSBC. Please go ahead.
Carlos Laboy: Yes. Congratulations and good evening, everyone. On marketing, can you comment on your revenue growth management and your pricing initiatives they've been very impressive and it speaks to how well you've been harvesting latent brand equity. But how does this environment maybe change the way you think about innovation and the way you go about building new brand equity so that you can sustain these strong price increases if necessary.
Daniel Servitje: Thank you, Carlos. Let me tell you that I believe that our teams over the past years having working on both, we probably had some room to cover on revenue growth management. And I would say that we have been strengthening the capabilities of the company in that regard. And in terms of innovation and marketing and investment in our brands, we have increased our investment over the past two years. And our plan is to continue to do that this year as well. And that includes not only resources but also coming up with innovations and leveraging the broad knowledge in brands and products that we have in different markets to the other markets where our teams and local teams feel that they have an opportunity to enrich their local portfolios.
Carlos Laboy: Thank you.
Daniel Servitje: You’re welcome, Carlos.
Operator: This concludes the question-and-answer session. At this time, I would like to turn the floor back to Mr. Daniel Servitje for any closing remarks.
A - Daniel Servitje: Well, thank you very much for attending this call. And we hope to see you back in the next quarterly analyst conference call. Thank you very much and have a good day.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time and have a nice day.